Operator: Good morning, and welcome to the Fluor Corporation’s First Quarter 2019 Earnings Conference. Today's conference is being recorded. [Operator Instructions] A replay of today's conference call will be available at approximately 10:00 A.M. Eastern Time today, accessible on Fluor's website at investor.fluor.com. The web replay will be available for 30 days.  A telephone replay will be available through 7:30 P.M. Eastern Time today on May 9 – at the following telephone number, 888-203-1112, the passcode of 9132841 will the required.  At this time, for opening remarks and introductions I would like to turn the call over to Mr. Jason Landkamer, Director of Investor Relations. Please go ahead.
Jason Landkamer: Thanks, Jake. And welcome to Fluor's First Quarter 2019 Conference Call. With us today are Alan Boeckmann, Fluor's Executive Chairman, Carlos Hernandez Fluor’s Interim Chief Executive Officer; Bruce Stanski, Fluor's Chief Financial Officer; and Jose Bustamante, Fluor's Executive Vice President of Business Development & Strategy. Our earnings announcement was released earlier this morning. We have posted a slide presentation on our website, which we will reference while making prepared remarks. Before getting started, I'd like to refer you to our Safe Harbor note regarding forward-looking statements, which is summarized on Slide 2. During today's call and slide presentation, we will be making forward-looking statements, which reflect our current analysis of existing trends and information. There is an inherent risk that actual results and experience could differ materially. You can find a discussion of our risk factors, which could potentially contribute to such differences in the Company's Form 10-Q filed earlier today and our 10-K filed on February 21. During this call, we may discuss certain non-GAAP financial measures. Reconciliations of historical non-GAAP amounts to the comparable GAAP measures are reflected in our earnings release and posted in the Investor Relations section of our website at investor.fluor.com. Now, I'll turn the call over to Alan Boeckmann, Fluor's Executive Chairman. Alan?
Alan Boeckmann: Thank you, Jason. First of all, good morning, everybody, and I thank you for joining us. I'll be brief in my comments, but I'm pleased to have to the opportunity to be actively reengaged with a company that spend such a sole focus of my career. I started with Fluor in 1974 and I have a great respect and fondness for this company, our employees and the clients we work with around the world. Speaking on behalf of the Board, I also want to thank David Seaton for his decades of contribution and dedication to Fluor. Now, some of you might not know Carlos, but I had the foresight to recruit him to Fluor when I was CEO to lead our legal team. Over the years, he has expanded his responsibilities and he's been extensively involved in operations. Fluor's board is highly confident in his ability to lead this company, and I look forward to work in hand-in-hand with Carlos and his leadership team So, with that, let me turn it over to our CEO, Carlos.
Carlos Hernandez: Thanks, Alan. I'm pleased to take this opportunity and look forward to working with all of you. I also want to thank everyone for joining us on such short notice. Given the events that have transpired, we felt it was prudent to move out the earnings call before our earnings meeting this morning – our shareholders' meeting this morning, rather. I want to start by addressing the announced charges incurred in the quarter. Needless to say, we are very disappointed with these results. Please turn to Slide 3. In Energy & Chemicals, results for the quarter include an additional project adjustment of $53 million, relating to an offshore project. After a complete deep dive and re-estimate of project, it was determined that the unique features of the FPSO created the need for our engineering team to redesign certain elements of the project and ultimately repurchase certain components. The forecast division reflects the redesign required as a result of client input and detailed engineering reviews, and the subsequent impact on material quantities, equipment specifications, and construction schedule. Our client has been extremely supportive and is collaboratively working with the project team as we worked through these challenges. I want to also point out that the client is in the process of providing additional financial support. In this segment, we also recorded a $31 million charge in connection with the resolution of final close-out matters with the customer. We expect this charge will fully resolve all matters with the customer and no additional expenses will be taken. In the Mining, Industrial, Infrastructure & Power segment, we experienced a $26 million in additional costs related to the punch list items for our legacy gas-fired power business. Lows [ph] out efforts of the plant in Florida have been hampered by ongoing disputes with the client. Please turn to Slide 5 for a review of our segment and market outlook. Starting with Energy & Chemicals, we're off to a good start on the LNG Canada project. Our team in Kitimat just completed the site preparation and our project management team in Calgary is working on detailed engineering and is engaged with our joint venture partner, JGC, on executing our modularization strategy. Additionally, we have submitted our FEED proposal to build the next trains, 3 and 4, and anticipate a contract award towards the end of this year. While we are making progress, it's important to know that revenue contributions for this project will be relatively modest until construction starts to ramp-up in 2020. Before I move away from LNG, we continue to be well positioned for this investment cycle. We have submitted our bid for the Mozambique Rovuma project and the NextDecade Rio Grande LNG project. We expect both clients to reach final investment decisions in the second half of the year. During the quarter, we successfully completed the Sasol ethane cracker in Louisiana. The Sasol project was the last project completed in the first wave of crackers that started earlier this decade. Right now, we are positioning for new cracker opportunities, including recent awards to develop certain FEED packages for the upcoming Sunshine Formosa project and the feasibility study for our large petrochemical project for BASF in Asia. New awards were $1 billion for the quarter, as expected. Our major award in the quarter was for the Wanhua Chemical Complex in Louisiana. Looking forward, in addition to the FID decision on the LNG bids, I just discussed, we also expect to see an award for the South Louisiana methanol project this quarter and an award for the Lake Charles methanol facility later this year. Turning to Slide 6, in the Mining, Industrial, Infrastructure & Power segment, new awards for the quarter were $1.3 billion and included the Red and Purple Line Modernization project for the Chicago Transit Authority. This award builds off of our experience in light rail, including our current projects in Boston and Maryland and our recent completion of the third and final line for the Denver Commuter Rail Project. In March, we announced that we broke ground on the Los Angeles International Airport Automated People Mover project. This project is scheduled to be completed in 2023, and will be a great enhancement to the City of Los Angeles ahead of the 2028 Olympic Games. We continue to track additional infrastructure projects, including the I-635 project here in Dallas, and the Oak Hill Parkway project outside of Austin. In Mining & Metals, we are seeing solid execution for projects that were awarded in 2018. We're working on a number of FEED and feasibility studies that have the potential to translate into over $10 billion of new awards, starting in 2020. Future EPC awards could include copper, bauxite, gold, diamond and lithium. Turning to Slide 7. Results for the Government segment are in line with the expectations and new awards of $331 million. The quarter-over-quarter comparison of results for this segment is a bit distorted by the significant amount of Puerto Rico power restoration work that contributed to Q1 2018 results. In April, we were informed by the U.S. Army that we were successful on winning the LOGCAP V award for AFRICOM. We are currently supporting 15 bases for this combatant command and we see the center of gravity shifting to this region. While we are pleased to continue our efforts in AFRICOM, we are disappointed in not being selected as the incumbent for the Afghanistan region. As with any contract of this complexity, this transition will take some extended time. We do not anticipate immaterial change in our execution plan for 2019. Turning to Slide 8. In Diversified Services, results for the quarter reflect the completion of certain large projects in our AMECO equipment business line. New awards of $810 million include a significant award for maintenance and outage services in our power services business. I'll now turn the call over to Bruce to give some financial highlights for the quarter. Bruce?
Bruce Stanski: Well, thank you, Carlos. Please turn to Slide 9 in your deck. Revenue for the quarter was $4.2 billion, compared to $4.8 billion a year ago. First quarter revenue reflects lower volume on a few large projects in the Energy & Chemicals and the Mining, Industrial, Infrastructure & Power groups, partially driven by the timing of client furnished materials. Our quarterly new awards were $3.4 billion, which means our book-to-bill ratio for the quarter was 0.81. As Carlos discussed, we expect to see our new awards pickup through the year as some of the major projects we are tracking get booked. Our backlog currently sits at $39.3 billion and it's pretty evenly split between fixed price and reimbursable work. Corporate G&A expense for the first quarter was $61 million, compared to $57 million a year ago. Expenses for this quarter include $19 million related to foreign exchange losses compared to $12 million a year ago. Excluding the impact of FX, expenses are below our annualized G&A midpoint guidance of $50 million per quarter. Turning to Slide 10. Our first quarter results was a net loss of $58 million or $0.42 loss per diluted share. Our per share earnings for the first quarter do include charges of $0.65 resulting from forecast revisions on an Energy & Chemicals project, resolution of closeout matters with the customer, and legacy gas-fired power projects. Also included restructuring charges of $0.15 and corporate and embedded derivative foreign exchange impacts of $0.13. Results for the quarter also reflects favorable project forecast revisions for certain projects in our Energy & Chemicals segment. Our restructuring charges of $27 million in the quarter were related to our Stork’s business. We do anticipate another $23 million in Stork-related restructuring charges this year. Fluor's cash plus marketable securities for the quarter was $1.9 billion, compared to $2 billion last quarter. Our available domestic cash balance represents about 25% of total cash. I will conclude my remarks by commenting on our guidance for 2019, which is on Slide 11. As a result of our revised business forecast in Energy & Chemicals and Mining, Industrial, Infrastructure & Power, the company is issuing adjusted earnings per share guidance of $1.50 to $2 per diluted share. Adjusted EPS guidance excludes costs related to the Stork restructuring plan and foreign exchange fluctuations. In addition, we anticipate a lower G&A expense range of approximately $160 million to $180 million, down from prior guidance of $190 million to $210 million. NuScale expenses of $40 million and a tax rate of 25% to 30%. We expect our earnings will continue to be weighted toward the back-end or back half of the year. We have good visibility into our backlog and new awards pipeline, and expect to see the impact of that work accelerate our revenue through 2019 and into 2020. That being said, we have slightly pulled down our revenue and margin projections from our previous forecast as we see some projects move to the right. Our current revenue forecast for 2019 is relatively flat compared to 2018. In 2020, we expect to see good revenue growth as some of our larger projects start to ramp up. Moving to Slide 12, we anticipate margins for the balance of the year in Energy & Chemicals group to be 5% to 6%; Mining, Industrial, Infrastructure & Power to be just under 2%; Government, excluding NuScale, to be approximately 3%; and Diversified Services to be 4% to 5%. With that, operator, we're ready to take questions.
Operator: Thank you. [Operator Instructions] We will hear first from Jamie Cook with Credit Suisse.
Jamie Cook: Hi, good morning. Can you hear me?
Carlos Hernandez: Yes. Good morning, Jamie.
Jamie Cook: Hi, good morning, and welcome. Alan, I never thought I'd have the opportunity to ask you a question again on an earnings call.
Alan Boeckmann: Good to hear your voice, Jamie.
Jamie Cook: Good to talk to you, and welcome, Carlos. I guess my first question understanding this is all relatively new, but have we had the opportunity – obviously, we had more charges in the quarter. Have we had the opportunity to scrub the entire backlog versus something that's on the come, so while David's announcement is new; Alan, you've been on the Board for, I don't know, month or so, so I'm just wondering how long this has been in the works? Second, the market is still going to be overly concerned with LNG Canada and the comfort level with that project, just given the fixed price exposure in Canada. So how do we think about that? And then, I guess, my last question is understanding, this is all new when we think about a long-term CEO. Historically, Fluor has chosen internal candidates, are we – is this an internal search or internal and external? Just trying to think about how wide of a range the search would be, and what that implies strategically? Thank you.
Alan Boeckmann: Jamie, let me take one part of your question, first, and then I'll let Carlos address the issues of backlog. Actually, for the record, this is my second day on the Board of Directors. The announcement came out a couple of…
Jamie Cook: The announcement…
Alan Boeckmann: Yes. And that was all the proxy, but this was not in my plans when I accepted to come back on the Board. But we are here and I can tell you that we are not doing a search, the Board has given Carlos full authority to go forward in leading this company as CEO and to get in and do the – and to drive, I would say, some dramatic improvement in risk assessment, bidding processes and project execution.
Carlos Hernandez: Jamie, let me answer the other part of your question about whether we done a full scrub of all of our projects. And let me just say that our focus, our renewed and enhanced focus is going to be on operations. We're going to have our fingers on the projects, we're going to have our thumb on the pulse of every project and that will be a companywide area of focus. We are – I've been receiving reports on the offshore project, on some of the gas-fired power projects that are finishing up now for some time. We have dedicated special resources to both of those projects and this morning we will begin to review with the management team all the projects that we have concerns about, which are not very many. You must remember that 97 plus percent of our projects are all performing very well. We have just a couple of projects that have been challenging for us for a variety of reasons, we're going to – and the project execution improvement will begins with the project pursuit process. The estimation, the contraction – the contracting, the staffing and the oversea – overseeing of those projects and that will be management's primary focus, so that we can deliver more consistent results.
Jamie Cook: And, I'm sorry, just on LNG Canada specifically?
Carlos Hernandez: LNG Canada is getting off to a good start and we have a dedicated management team that sits on the Board of that business, of that significant project and very much involved with everything that's going on there. So we're feeling – we're showing very good about that project at this point.
Jamie Cook: Okay. Thank you. I'll get back in queue. Welcome.
Carlos Hernandez: Thank you, Jamie.
Operator: Andrew Kaplowitz with Citi has the next question.
Andrew Kaplowitz: Good morning, guys.
Carlos Hernandez: Good morning, Andrew.
Andrew Kaplowitz: Alan, so I think we'd be remiss if we didn't asking for some perspective versus when you run the company. I know it's early for you, but Fluor has gone through many years of evolving into business model toward the integrated solution and data analytics, and it seems like a lot of it hasn't worked well. So maybe you can give us a perspective on what you think has gone wrong? Obviously, there’s – when you run the company, there's a lot more fixed price exposure, is that it? Is it something else? Any perspective would be helpful.
Alan Boeckmann: Andrew, I think is – it's early for me to comment on looking into – this is a root cause. I will be lending support to Carlos and his team. And for the Board perspective, continue to communicate the expectations of the Board. I clearly – I think everybody is disappointed in the results and the results of this quarter and the continued losses on project, and that's why I spoke to the issue of Carlos and the Board having confidence in him and his team to really get around this and drive some dramatic improvement. I will, maybe in a future opportunity to call, be able to give some highlights on what I think are some of the differences. But, right now – there is no doubt in my mind that processes have been improved, the technology has been invested in and we have strong players at each of the leadership positions. So I think it's a matter of just digging into it and put my nose to the grindstone and figure out what the best execution we have is...
Andrew Kaplowitz: Thanks for that, Alan. Carlos, Can I follow up on Jamie's question around the projects themselves. When do you think we can put the power projects actually behind us? I know, we're in punch list there, so it should be relatively soon. How far long is the offshore project? And are there any other projects, at this point, that have sort of the yellow flags around them?
Carlos Hernandez: Yes. The gas-fired power projects, we will be – we'll have those projects behind us by early summer. We still have some ongoing issues with our client and those will probably linger for a while, although we are engaged and planned to be engaged in conversations with the client in that regard and, hopefully, we can resolve those in a commercial basis. With respect to the offshore project, I think, last quarter, I believe, we reported that we will close to 50% complete. The way we have – we analyze that project, when we look at it in various ways and the percent complete varies in depending on how we look at it. And it's really not as relevant right now, because we've got certain milestones that we have to hit. We're working with our fabricator closely and with the client. So while we've had challenges, I think we're on the path to ride that ship and deliver a project as we usually do to our client that will be productive and make the client very satisfied with our performance. And I believe you had one other question, what was that? Do we have any other projects? We don't have any other projects. We look at project, as you know, every quarter. We do the scrub every quarter where we are on each project and we report those where we have an issue or not. And those are the only – that's the only project we had an issue this quarter. Obviously, we had some issues with a couple of legacy projects, but, at this point, we feel pretty good about where we are with our backlog.
Andrew Kaplowitz: And just a quick one for Bruce, I mean, you lowered the guidance by $1, $0.65 of charges in the quarter, is the rest just sort of lower revenue and delays on projects? Is there any contingency in there for execution?
Bruce Stanski: Thanks, Andy. And relative to our guidance, you're right, its $1 lower and if you really kind of do the math, $0.65 was in charges in the first quarter. And we've – what we've done is, looked at all of our projects as we have seen some lag in our existing project burn and I think that has a lot to do with the revenue recognition making that longer burn, so pushing more of the earnings into 2020 than we originally thought. And so, when we reforecasted that plus some of these new awards that we're chasing that are moving into 2020 that accounts for about $0.35. So that's the dollar that we're taken off guidance, it's as straightforward as that Andy.
Andrew Kaplowitz: Thanks, guys.
Operator: Michael Dudas with Vertical Research has the next question.
Michael Dudas: Good morning, everybody. Welcome back, Alan and welcome, Carlos. I know its difficult day down there outside of Dallas.
Carlos Hernandez: Thank you, Michael. Well, good morning.
Alan Boeckmann: Michael, good day. How you're doing?
Michael Dudas: Alan, good. Alan, just want to clarify your comment earlier to Jamie's question in the press release and indicated that Carlos was named the Interim CEO. Is that correct? And is there going to be a full search or you just want to clarify that comment from the press release what you said in Jamie's question?
Alan Boeckmann: No. Mike, it's a good question. Again, I take the blame for not reading the final draft of that, actually I would have preferred that clause not have been in there. We have not started a search, we're not intending right now to start a search. The title of Interim CEO is what it means, but I think the intent of our – of the Board is, with David's departure is, we want to vest in Carlos the complete authority to take this team and drive it forward with all the improvement, expectations that we have. And we do have expectations in that regard. And, again, I've known Carlos and worked with them for quite a long time. And my own acceptance of moving into being the Executive Chair was that – I'm going to lend every piece of my personal support to that process. But make no mistake about it, Carlos will be running the company. But I think that combination the Board is looking forward to that combination along with the rest of the very strong executive team to drive the improvements that we are expecting and want to achieve.
Michael Dudas: So when you accepted the Board position in March or will be soon announced that you're going to accept for the upcoming year, your expectation coming on after being away was there an inclining your indication of – you were just seeing from the outside that there were some difficulties you could lend a hand or I just want to get it from the Board's sense. And I know you've only been on the Board officially a day, the evolution of this event occurring today because the significant event and one that comes with a lot of thought, but also some explanation as well.
Alan Boeckmann: No, again, a very good question. When I was asked to come back on the Board, you know my history with this company, this is one company I know is not in my vocabulary, so I suggest to come back on the Board really for the purpose of adding to – at the Board level knowledge not just to the company but of the whole capital projects business. Also, I have known David Seaton for quite a long time and had a very, very strong relationship with him and still do. And so my intent at that time was to assist David and the Board however I could in helping this company. It was not to be here today talking to you in the position that I'm in.
Michael Dudas: I understand. And I guess this one is – I'm sorry, go on.
Alan Boeckmann: I’m sorry. Did that answer your question?
Michael Dudas: No, it did, Alan, and I appreciate it. Thank you for your thoughts. I appreciate. Good luck.
Alan Boeckmann: Thanks Mike.
Operator: And Steven Fisher with UBS has the next question.
Steven Fisher: Thanks. Good morning, and welcome back, Alan and welcome, Carlos. Just another question on the guidance. Really it sounds like some of this is pushing projects out to the right. Bruce, I know there was a discussion previously about as we would exit the year that the E&C margins would be, kind of, pushing well through that 6% level, I know you said 5% to 6% for the rest of the year. So, are we still thinking that, as we exit the year, we should be increasing that margin percentage as the year goes on and is this kind of deferral – like to what extent is this LNG Canada versus just other projects?
Bruce Stanski: Steve, good question. Yes. So, we've provided updated guidance of 5% to 6% prior when we said about 6% for the Energy & Chemicals segment. We are going to be pushing that upper limit of the range there as we move into the second half of the year and it's driven by not just LNG Canada, that is a big factor as more revenue is burnt through that project at higher margins, but really the portfolio in general that has higher margins built into it on what we did recently at higher margins that are pushing through that on the revenue side. Last quarter, I kind of guided on the trend on the year too and I just want to make a comment on that. So if you kind of do the adjustments that I had in my prepared remarks for the first quarter and get back to an EPS there, we're still about 50% more earnings in the second half of the year as we are in the first half of the year even with this new guidance. I don't know if that helps, but I thought it of for that.
Steven Fisher: Yeah, it does. But just to clarify on the LNG Canada, is that pushing at all to the right or that's – that literally on schedule?
Carlos Hernandez: No. LNG is on schedule. So it's just the profile of it and as we said, that's our big job, what would normally be a five-year contract is more like an eight-year burn for us and again heavily impacted by this new revenue recognition standard that elongates that burn and pushes it more to the right.
Steven Fisher: Okay. And then, I guess, I'm just kind of follow-up on Andy's question asking Alan for perspective here. I mean, Fluor had Investor Day in November, really all around managing performance better, is this just further confirmation that the EPC business model really just doesn't work and a number of these other companies in the industry that are sort of actively moving away from this model, sort of had more of the right idea and you think there's some more major rethinking that needs you on around corporate strategy here?
Alan Boeckmann: Well, a good question, again. The Company is actually once a year holds a strategy session internally with the Board of Directors that will be coming up in mid-June and we will be looking and asking questions and talking about the current strategy and may be making a few corrections. But I think the actual basic concept is sound. What it really boils down to, in my opinion, is, discipline around the big decision, the analysis and assessment of risk and the mitigation of that risk, and then the contracting strategy, but at the end of the day, once that's all done, it's the execution and the process is around it. I really strongly believe that this company has that capability and I think I'll be working with Carlos and his team to make sure that we know why it's not working on some projects. And, again, we're talking about, as Carlos said, a couple of projects here and that's really unfortunate. Because they really harm the entire earnings results and our share price, but we need to be successful on the entire backlog. So, I think, yes, from a strategy standpoint, we'll be looking at some aspects of that, but I honestly don't think we'll be looking at much of a change in strategy, maybe a bit more disciplined and structured in execution.
Steven Fisher: Got it. Thanks a lot.
Operator: [Operator Instructions] We'll now move to a question from Tahira Afzal with KeyBanc.
Tahira Afzal: Thank you very much. Alan, you'd mentioned in your prepared commentary around technology and what you have in place making you feel a little better. And over the last – since you were last CEO, there have been a lot of new technologies and processes, AI, et cetera, that have come in, do you think this could be a pretty game changing and helping your execution strategy going forward?
Alan Boeckmann: Well, I have no doubt about that. I think it's the implementation of strategies and integrating them into the execution is key. I've just had an opportunity, again, since being here two days, I went through a bit of an orientation in the last couple of weeks with some of the executives and the team, but I'm quite impressed with a number of the improvements and implementation, both about strategies but also in the work processes that make those strategies even more effective. So, I'm optimistic. I think this company is going to start performing and it's going to start delivering solid results.
Carlos Hernandez: Yeah, let me add something to that, Tahira. As you know, we've spoken quite a bit about our AI capabilities in connection with developing predictive models and performance on projects. We are also – and this has been a developing technology that we've had for some time and we're also using this not just doing the project execution, but in the project bidding and pricing phase, and I think that's going to give us a significant advantage and it's going to give us a greater certainty in terms of our development of our bids.
Tahira Afzal: Got it. Okay. And, Carlos, just building on that, especially given your expertise and background, do you feel you'd like to accelerate the investments there, or do you feel you're sufficiently padded and it is more about implementation at this point?
Carlos Hernandez: I think it's more about implementation. We think we've invested a significant amount over the last five years, and now we're at the point where we're actually seeing the results of that investment and the data that we are deriving from the use of that tool is remarkably accurate, we think. And it's actually confirming a lot of what we do without the technology, but it's going to become standard procedure for most of our projects.
Tahira Afzal: Okay, great. Thank you very much.
Operator: And now we'll hear from Chad Dillard with Deutsche Bank.
Chad Dillard: Hi. Good morning, everyone.
Carlos Hernandez: Good morning.
Alan Boeckmann: Good morning.
Chad Dillard: So maybe something like a chicken or the egg question. So the issues on the problem projects, would you say that are more related to pricing the bed or more on the execution side or, in other words, I guess going forward, like, what do you think you're going to be focusing more so on that will get a better result in terms of execution? Then also what are your projects that – they had issues with FID under the integrated delivery model?
Carlos Hernandez: Well, with respect to – let me speak to with respect to the offshore project, which we mentioned. That's a project where there have been certain engineering requirements have actually changed along the way and have surprised both the owner and us, and so it's required some reengineering and that's the primary reason for the delays in the extra costs there. If you look back at some of the power – gas-fired power projects, that was a little bit different, that was a very competitive market. We probably were more aggressive than we should have been in getting those projects. And so everything had to go absolutely right and some – couple of those projects, they did not. But I don't think there is a – there is necessarily an explanation for – one single explanation for every project. The execution of the project is obviously a complex process and, I mentioned earlier, all the steps that go into a successful project and we have to be rigorous in our – the application of our discipline and that's what we're going to be doing.
Chad Dillard: Great. And then just switching to more about the market. Can you just talk about the bidding environment in oil and gas? I mean, has there been any shift in customer willingness to share risk with some new projects that you're bidding right now?
Carlos Hernandez: Well, there is – I'm going to ask Jose Bustamante, who is Head of our Sales to address that point from his perspective.
Jose Bustamante: When we look at the market, we really look at the different segments and some of the segments in which we participate like LNG is really a limited competition market. So when we look at opportunities, we always feel that we have a better opportunity of negotiating terms and conditions that are balancing some of these contracts. So many times we are only bidding against any one single contractor or maybe another, a joint venture. So we also have some other segments of the market in which the conditions are different and, therefore, are much tougher terms and conditions, but in some of the larger segments in which we participate, I think, we still have the ability of negotiating the right terms and conditions for us.
Chad Dillard: Thank you very much.
Carlos Hernandez: And that's a very good point. I think one of the things that we have to do is we have to be rational about the amount of risk that a contractor can take versus the amount of risks that a client can take. And sometimes that may have become out of balance a little bit and that's something that we're going to bring back in our relationships with our clients, try to balance that risk appropriately.
Operator: And there are no further questions at this time. I will turn the call back over to Carlos for any closing remarks.
Carlos Hernandez: Thank you. Thank you, operator, and thanks to all of you for participating on our call today. We greatly appreciate your support to Fluor. Thanks, again.
Operator: And, with that, ladies and gentlemen, this will conclude your conference for today. We do thank you for your participation, and you may now disconnect.